Operator: Good afternoon, ladies and gentlemen. Thank you for standing by, and welcome to the Metro Inc. 2020 First Quarter Results Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to turn the conference over to your speaker today, Sharon Kadoche, Senior Advisor, Investor Relations and Risks at Metro Inc. Please go ahead.
Sharon Kadoche: Thank you, Julie. Good afternoon, everyone, and thank you for joining us today. Our comments will focus on the financial results of our first quarter, which ended December 21, 2019. With me today is Mr. Eric La Flèche, President and Chief Executive Officer; and François Thibault, Executive VP and Chief Financial Officer. During the call, we will present our first quarter results and comment on its highlights. We will then be happy to take your questions. Before we begin, I would like to remind you that we will use in today’s discussions different statements that could be construed as forward-looking information. In general, any statement which does not constitute a historical fact may be deemed as a forward-looking statement. Expressions such as expect, intend, are confident that, will and other similar expressions are generally indicative of forward-looking statements. The forward-looking statements are based upon certain assumptions regarding the Canadian food and pharmaceutical industries, the general economy and our annual budget, as well as our 2019/2020 action plan. These forward-looking statements do not provide any guarantees as to the future performance of the company and are subject to potential risks known and unknown, as well as uncertainties that could cause the outcome to differ materially. A description of these risks, which could have an impact on these statements could be found under the Risk Management section of our 2019 Annual Report. We believe these statements to be reasonable and pertinent at this time and represent our expectations. The company does not intend to update any forward-looking information except as required by applicable law. I will now turn the call over to Francois.
François Thibault: Thank you, Sharon, and good morning, everyone. A few things before I go over our Q1 results. First, as you’re aware, effective this quarter, we reported results under the new standard IFRS 16, which effectively removed the distinction between operating leases and finance leases. Our press release and interim report provide information on new standard, but in a nutshell, $1.962 billion of assets are added on the balance sheet with a corresponding net amount in lease liabilities and retained earnings. On the P&L, the impact on net earnings is positive of $700,000, which is non-material and less than $0.01 of EPS. This represents roughly the quarterly impact going forward. In December, when we presented new standard during a conference call, our forecast had indicated an impact that was closer to $0.01. I remind you that fiscal 2019 numbers have not been restated for IFRS 16. Secondly, we dispose of our MissFresh business for a net after-tax loss of $4.2 million. We have adjusted our numbers for this loss. And finally, we acquired the minority interest in Groupe Première Moisson for a cash consideration of $51.6 million. Turning to our results, total sales reached $4.03 billion versus $3.98 billion last year, an increase of 1.3%. Excluding the impact of the new standard IFRS 16, which reclassifies rental sublease income, sales reached $4.04 billion, or a 1% increase – 1.6% increase, sorry. Same-store sales were up 1.4% for the quarter and our internal basket inflation was about 2%. Our food same-store sales stands at 2% when adjusting for the Christmas shift. Our pharmacy same-store sales were 3.6%. During the quarter, we captured $50 million in cost synergies related to the Coutu acquisition, compared to $11 million for the same quarter last year. This represent synergies of $65 million on an annualized basis, the same amount same level that we disclosed in the previous quarter. Gross margin stood at 19.6% of sales, or 19.9% when adjusting for the impact of IFRS 16, compared to 19.4% for the same period last year. Operating expenses as a percentage of sales came in at 10.6% versus 11.3% last year. Excluding the loss on the disposal of MissFresh for $7.5 million this quarter and the gain of $7.4 million on a divestiture of pharmacies in Q1 last year, the operating expense ratio was 10.4% of sales versus 11.5% last year. When we exclude the impact of IFRS 16, the ratio stands at 11.7%. Adjusted EBITDA stood at $370.6 million, that’s up $57.4 million and represented 9.2% of sales versus 7.9% for the corresponding quarter last year. Normalized for the IFRS 16 impact, adjusted EBITDA was up 4.7% and represented 8.1% of sales. The income tax expense for the quarter was $60.3 million versus $66.7 million last year, representing an effective tax rate of 26.2% and 24.7%, respectively. The company recognized a $3.3 million tax benefit during the first quarter of 2020, following the sale of MissFresh. Adjusted net earnings were $180.9 million, compared to $172.2 million last year, that’s up 5.1%. Adjusted net earnings per share were $0.71 cents versus $0.67 last year, an increase of 6%. The adoption of IFRS 16, as I mentioned at the beginning, had no material impact on this quarter’s EPS. Under the normal course issuer bid program, we may repurchase up to 7 million shares between November 25, 2019 and November 24, 2020. As at January 17, 2020, the company repurchased 850,000 shares, an average share price of $55 for a total consideration of $46.7 million. Given our strong financial position and the fact that Jean Coutu operations are well-integrated, the Board of Directors has approved the change to our dividend policy, whereby we are increasing our payout ratio range from 20% to 30% to 30% and 40% of the previous year’s adjusted net earnings. The Board also declared a quarterly dividend of $0.225, a 12.5% increase over our previous quarter – or over a previous quarterly dividend. The annual dividend payment will represent about 31% of fiscal 2019 adjusted net earnings. That’s it for me. I’ll now turn it over to Eric.
Eric La Flèche: Thank you, François, and good afternoon, everyone. The 2020 fiscal year is off to a good start with solid revenue and earnings growth in a very competitive environment in the first quarter. Food same-store sales were up 1.4% and up 2% when adjusting for the Christmas calendar shift, that’s on top of 3.2% in the same quarter last year. Our average basket was up, while traffic and tonnage were slightly down due to the Christmas shift. Adjusting for the transfer of the holiday sales, overall tonnage and traffic were up slightly, though our Q1 results are in line with our expectations. Our internal food basket inflation was 2%, down from 2.8% in the previous quarter. We experienced produce deflation in the quarter as we cycled high produce inflation last year. Also fresh meat costs have been quite volatile over the past few months and our teams did a very good job to deliver effective merchandising programs. The competitive environment was intense, but not worse than recent quarters. Over – we are pleased with our holiday sales and most of that performance will be in our Q2 results. Pharmacy same-store sales grew by 3.6%, with a 4.1% increase in prescription drugs and a 2.7% increase in front store sales, fueled in part by a strong performance in OTC and HABA. Prescription count grew by 2.5%. We are also pleased with our pharmacy sales during the holiday season. The integration with Jean Coutu is proceeding as planned, including the work in the Coutu warehouse to increase automated capacity, as well as the deployment of the Coutu retail management systems across the Brunet network. The other priority is – in the short-term is the renewal of Varennes collective bargaining agreement. As mentioned on the last call, we expect it to start capturing the distribution synergies in the latter part of the year. E-commerce sales continue to grow and our KPIs are improving every month. Although very modest as a percentage of total sales, e-com sales are largely incremental to the metro banner, as we gain share of wallet from existing customers and attract new customers. We will soon be adding a second hub store in Quebec City, bringing the total up to eight stores for the province. In the quarter, CapEx totaled $76.7 million, an increase of $18 million compared to the same quarter last year. This reflects our increased investments in our Ontario supply chain project, which is progressing well. On the retail side, we opened four new stores, including two relocations, converted two Metro stores to food basics and expanded or remodeled eight stores for a net square footage addition of 86,000 square feet or 0.4%. In conclusion, we are well-positioned to reach our objectives this year, and are confident in our ability to grow by focusing on our customers’ needs, continuing to invest in our retail network and supply chain, and most of all, executing well every day. This, combined with a higher dividend and share buybacks, will continue to create value for our shareholders. We will now be happy to take your questions.
Operator: [Operator Instructions] Your first question comes from the line of Karen Short with Barclays. Please go ahead.
Karen Short: Hi, thanks for taking my question. Just a little color, I know you indicated that the competitive landscape was kind of consistent, but obviously tonnage did slow meaningfully sequentially. So wondering if you could just give a little bit more color on that specifically?
Eric La Flèche: Well, again, I said in the opening statement, it was intense, highly promotional like it always is. But it wasn’t really worse than in recent quarters. And in the fall, we always see aggressive promotional prices. It was, again, this fall around Thanksgiving it was and leading into Christmas it was also. But what we saw was not extraordinary or out of the – what we’re used to. So I would say, the competitive environment was intense, but not worse than it was in the recent quarters. That’s my answer.
Karen Short: Okay. And then I – just on the pharmacy side, obviously, the pharmacy comps were strong on a one and two-year basis. And while the front-end was strong, I mean, it did decelerate sequentially, fairly meaningfully. Any thoughts as to why that would have happened?
Eric La Flèche: Well, we’re very happy with our front store sales in pharmacy. The $2.7 number is for the quarter ending again on December 21. There is a transfer of sales in that business also. We didn’t point out exactly the amount. But yes, I would tell you that the sales trend in the front store is maintained, and we’re doing fine in the front store on the – on trend as we were.
Karen Short: Okay. And then last question for me. On the payout ratio, just curious if you could just go run through the philosophy on increasing the ratio from a Board perspective?
Eric La Flèche: So our previous policy was 20% to 30% target, 25%. We were at the 30% number as of this year. Following the acquisition of Coutu, which is going well and the cash flow profile generation of the Coutu assets, the company, I think, has evolved to a position where we can payout a higher percentage of our previous year’s earnings as a dividend. So that’s why the policy was changed from a range of 20% to 30% to a range of 30% to 40%. And the increase that we are giving for this year at 12.5% will bring the payout ratio to almost 31%, right, 31%. So that’s the rationale.
Karen Short: Great, thanks. I’ll get back in the queue.
Eric La Flèche: Thank you.
Operator: Your next question comes from the line of Irene Nattel with RBC Capital Markets. Please go ahead.
Irene Nattel: Thanks, and good afternoon. Eric, I was just wondering if continuing the discussion around consumer behavior competitive environment, what you’re seeing if you’re seeing anything around consumer trade down increasing penetration on promotions, or just the shift in traffic from conventional to discount?
Eric La Flèche: So there hasn’t been, where we haven’t seen a noticeable shift, the number of discount stores continues to grow. We have converted two, as I said in my opening remarks, two METROs were converted in Ontario. So that long-term trend to discount, especially in Ontario continues, but not at an accelerated pace. We haven’t seen consumers trading down in that respect. That said, at Metro, we think we’re really well-positioned with both formats, really if you you add Adonis on the food side with conventional full-service discount, well represented in both provinces to capture whatever market environment is before us. But as we speak today, the conventional business is doing well.
Irene Nattel: That’s great. Thank you. And certainly, when you talk about the adjustment for the Christmas – for the shift in Christmas, when you kind of do the math it makes sense, but should we assume that you get all of that back in Q2? I think, this morning at the AGM, you mentioned that really best way to – will be to look at Q1 and Q2 and you’re pleased with the overall holiday sales. Can you provide a little bit more color there?
Eric La Flèche: Well, it’s exactly what you just said. Yes, we are pleased with our holiday sales in both food and pharmacy that will help our Q2, for sure. We are comping good numbers in Q2, by the way, last year, but we’re happy with our Christmas sales. There is a transfer clearly from Q1 to Q2, and you’ll have to add up Q1 and Q2 in due time to see the overall performance and we’re confident that we’ll be okay.
Irene Nattel: That’s very helpful. Thank you. And just switching gears for a moment if I might. On the NCIB, are there any plans to accelerate the pace of repurchase as we move through the year?
François Thibault: I think, Irene, it’s François. I think, the pace that we’ve done so far 850,000 share, I think, is a good pace. We have authority to do $7 million. We’ll see obviously what market conditions are, but we have no change in our capital allocation. CapEx, dividend and excess cash will be used to do share buybacks keeping a financial leverage of adjusted debt to EBITDA of 2.5. So, obviously, no change going forward on that allocation of capital.
Irene Nattel: Okay.
François Thibault: So, yes, I think, the pace that we’ve seen so far is a good pace for the year.
Irene Nattel: Okay. So as we think about sort of in aggregate, François, we should assume that you’re going to try and keep leverage as close to that level as possible?
François Thibault: Yes. That’s our – the 2.5 is maintained as a target financial leverage.
Irene Nattel: That’s great. Thank you.
François Thibault: Welcome.
Operator: Your next question comes from the line of Mark Petrie with CIBC. Please go ahead.
Mark Petrie: Hey, good afternoon. Eric, just on the tonnage topic, you guys have delivered tonnage growth for effectively four years and even with the calendar shift, it’s flat. So by no means an overly concerning result, but definitely a departure from the run rate. So how do you sort of interpret that result? And when you break down the drivers and leavers, what stands out to you in terms of the performance of the business?
Eric La Flèche: Well, it’s one quarter. The tonnage is essentially flat on a comparable basis. We were comping strong numbers. The market is competitive, as I said. So, nobody’s giving us a free ride and we have to fight for every dollar. That said, the tonnage is fine like produce where we experienced a bit of a deflation. Our tonnage is really strong in produce. So, I think, we will continue to develop effective merchandising programs and I’m confident that our tonnage will be fine. This is a result for one quarter.
Mark Petrie: Yep, okay. And in terms of the balance between sales and gross margin, I mean, another solid, very solid gross margin performance in the quarter. I know you don’t split out food or pharmacy, but can you give us some of the sense of the biggest drivers of that margin expansion? I mean, was it the same carryover from Q4 in terms of synergies, mix and private label?
Eric La Flèche: Yes. So synergies, there’s a bit of a – an uptick in synergies Q1 over Q1 last year. But I would say most of the driver there is good effective merchandising, more weight on the fresh side and good shrink management. So it’s a lot of small stuff by each banner and store operations to deliver a decent gross margin number. So don’t get the impression that we walked away from sales and we – I think, we’re effective in our merchandising and we’re happy with the result.
Mark Petrie: Okay, thanks. And then just the last question. I just wanted to ask sort of longer-term about the results that you’ve seen from all the remodels that you’ve completed over the last number of years. Obviously, that’s an ongoing project and it’s an evolution. But could you just talk about the impact that you see, sales lift, paybacks and how that has evolved over time? And as the stores mature, does the performance sort of progress as you would expect?
Eric La Flèche: In general, yes, we’re happy with the results of our investments. Most investments meet the targets that we set for returns. We typically get a good lift in the first year and we continue to see a lift in the next couple of years that’s above the average. So that hasn’t changed. The cost of the projects has gone up, that’s for sure. So the return comes off a little bit, but overall, it meets our hurdle rates or more and quite happy with the performance in both conventional discount on the food side and also pharmacy. So, we’re disciplined with our investments. We look at every project, project-by-project and we challenge the performance and we challenge the investment and we try to make the returns that we have been used to. So it’s more challenging with higher cost of projects, but we’ll manage.
Mark Petrie: Okay. And just to sort of clarify, separate – or excluding the higher cost of upfront and upfront cost of the investment, the sales performance or uplift is consistently on track with your expectations versus what it would have been five years ago?
Eric La Flèche: Nobody is batting for 1,000. But in general, yes, we’re happy with our returns.
Mark Petrie: Yes. Okay. Thanks.
Eric La Flèche: Yes.
Operator: Your next question comes from the line of Michael Van Aelst with TD Securities. Please go ahead.
Michael Van Aelst: Thank you. So first off, just on the inflation, CPI in your provinces was around 3.6% in the quarter and your inflation was 2%. That’s a bigger gap than what we’ve seen in recent quarters. Are you seeing more trade down, or is that a mixed difference? Or what do you think accounts for that? And if you had a crystal ball, where do you think your basket inflation was going – would be for the year?
Eric La Flèche: Well, we don’t have a crystal ball, so I’m not going to go there. But the number we report on inflation is the number that we have – based on what we sell at store level. So it’s dollars for item, department-by-department, and this is a number that we saw in the quarter. So yes, maybe it’s a slightly bigger gap that the CPI. We typically see a gap to CPI. I’m not sure it’s that significant. Again, there’s no change in the methodology and it’s the same way of reporting it. So crystal ball, 2% is a number we can live with and hopefully, it’ll stay in that neighborhood and we’ll have to see.
Michael Van Aelst: Okay. And then I want to look at some of the costs, because there are some big movements in some of your OpEx line items. You had wages and benefits down 2%, for example, but then your other was up 9% and your rent, excluding if you adjust for IFRS, it look like it was up something, I think, 6% or 7%, if I remember correctly. So can you talk about what’s going on there, like wages and benefits being down 2%? Is that a headcount reduction, or is that bonus accruals being lower?
Eric La Flèche: I’ll ask François to take this?
François Thibault: Oh, I think it’s good productivity numbers. The employee benefit expense has gone up, as you see, by $3 million. That’s mostly reflection of lower interest rates, which increased the pension expense in our results. On the rent, yes, you’re right, adjusting for the IFRS 16, it’s higher, it’s mostly utilities costs in Ontario. So we’ve had significant increases in utility. Energy expense already in Ontario. And on the other line is the usual suspects, higher transportation costs, the investments that we’re making in e-com for the GTA, some IT with the projects we’re having. So as we said, we’re going to start cycling the higher transportation cost in Q2. So everything else being equal, we should cycle that. But these are the main items that explains the differences.
Michael Van Aelst: And duplicate overhead cost, where do they stand now and where do we see those, when you’re talking about like the convert – the merging of the DCs and trying to ramp up Varennes and prepare it?
François Thibault: They would all be – they would be in there. They would be in SG&A, mostly in SG&A.
Michael Van Aelst: Yes.
Eric La Flèche: So there’s no huge duplicate overhead costs relating to the DC projects in Toronto. Yes, we have some consultants in…
François Thibault: [Multiple Speaker]
Eric La Flèche: You talk about…
François Thibault: Yes, go ahead.
Eric La Flèche: Oh, sorry about that.
François Thibault: Yes. So there’s – so it’s all there in – between – it’s all there in the transportation expense, in the wages. So that’s, as we said, that’s the last bucket of synergies that we will realize once we merge the DC and the transportation later this year, but it’s all in those numbers, yes.
Michael Van Aelst: And just finally, then, on your balance sheet, there’s some big increases in accounts receivable and inventories on a year-over-year basis. Can you explain what’s happening there?
François Thibault: You’re talking – not accounting for IFRS 16.
Michael Van Aelst: Well, there’s – I don’t know how big of an impact there is on accounts receivable or inventories?
François Thibault: Well, there’s a big long-term accounts receivable increase due to the IFRS 16 over $62.9 million long-term and $87 million on short-term.
Michael Van Aelst: And I’m talking more about the – I think, it’s just your normal inventory?
François Thibault: Yes. It’s – but it’s in line. It’s a growth of business ahead of the Christmas season. And you look at the trend between the accounts receivable, inventory and the payables are in line.
Michael Van Aelst: Okay. I’ll follow-up after Thank you.
Operator: Your next question comes from the line of Patricia Baker with Scotiabank. Please go ahead.
Patricia Baker: Yes. Good afternoon. Actually, all of my questions have been answered, so I’ll just let someone else get on the line.
Operator: Again, next question comes from the line of Vishal Shreedhar with National Bank Financial. Please go ahead.
Ryan Li: Hi. This is Ryan for Vishal. Most of my questions have been asked. Just one last one. Just with the MissFresh divestiture, what was the reasoning behind that? Was there – when you picked it up versus now, was there a difference in view of where the market was going, changes in where Metro viewed this business model, whether it was viable or not? Are you able to comment on that?
Eric La Flèche: Well, yes, just a quick comment. MissFresh was a small startup. We thought there was more potential in the meal kit business for us than we saw, especially at store level. And in the subscription e-com model, that’s not a model that we’re willing to continue and we thought we were not the best owner going forward for that business. So it didn’t meet our objectives. We thought that with the Metro customer ecosystem, we could leverage that to gain some sales on the meal kit. It was challenging. There was no real advantage with that, so better someone else than us.
Ryan Li: Okay. Thank you. That’s it for me.
Operator: Your next question comes from the line of Chris Li with Desjardins Bank. Please go ahead.
Chris Li: Hi, good afternoon. Just few quick ones for me, hopefully. Just first, your comment about the labor productivity improvements. I’m just wondering, is that capturing some of the early benefits that you’re seeing from the self-checkouts and electronic shelf labels?
Eric La Flèche: Yes, I think, it’s a contributing factor. It is still early days for self-checkout and shelf labels. But it’s certainly meeting our objectives at this stage in terms of usage by customers and our saved more work to do work in progress. But it’s delivering and will deliver the savings that we are hoping for and it’s slightly contributing to the wage and benefit improvement.
Chris Li: Okay. And as you probably noticed as well, the self-checkout, is that predominantly just within the Metro conventional stores, or are they also in the Jean Coutu store as well?
Eric La Flèche: For now, it’s all on the food side, not on the pharmacy side, and we have it in Metro stores and we have it also in discount stores, mostly Metro, I would say.
Chris Li: In this pharmacy a potential for roll out in the future?
Eric La Flèche: Some potential. I’ve seen it at competitors, so it really depends location by location. When the customer count is very high, it could be helpful. So something we will be looking at – we will look at, but nothing to announce yet.
Chris Li: Okay. And you mentioned also you’re building an extra – another hub store in Quebec from seven to eight. What would that coverage be going forward once you have that store up and running for e-commerce?
Eric La Flèche: So our strategy is to target urban centers, not the whole province for now for obvious reasons, and Quebec City is a larger urban area. So we were operating on it with one store and it’s reaching or will soon reach capacity. So we decided to open a second store, and that’s an advantage of this hub store model. You expand when the man is there and you can add at a reasonable cost some more capacity. So that’s why we’re opening that second store in the next few weeks.
Chris Li: And then in Ontario, you have two stores, I believe right now. What’s the plan for the next 12 months in Ontario?
Eric La Flèche: Well, for competitive reasons, we’re going to keep our plans to ourselves. The two stores are ramping up, sales are growing, operational metrics are improving every month. So more work to do. It’s marketing competitive out there in Ontario, as well as in other domains. So pleased with our progress, but work in progress.
Chris Li: Okay. And then maybe switching quickly to just the drug reforms, any particular events that your team is keeping a close eye on for this year? I’m thinking in particular on things like potential reduction in branded drug prices or any potential changes to dispensing fees, any of that nature?
Eric La Flèche: So, yes, we of course, keep a close eye on all of that and we are not expecting major reforms to hit us in the near future. We’re keeping a close eye, but it’s not on our radar in the short-term.
Chris Li: Okay. And then maybe one quick one for François. Just your leverage target of 2.5 times, I just want to make sure I understand. Is that, so based on now Q1 with IFRS 16 fully baked in, as you calculate that leverage, is that 2.5 times as of Q1, or is that your target?
François Thibault: That’s – so it’s measured on the pre-IFRS impact. Okay, so taking the existing debt and using the methodology by S&P, so capitalizing the leases as per the S&P method, so no change on that. We’ll see, as the year progresses, whether we convert that ratio to a post-IFRS and we’ll use the equivalent. But I want to make sure that we get further ahead in the year before we adjust for any leverage. So for now, it’s the same methodology that we’ve been using in the past.
Chris Li: Okay. Thank you both for your answers.
Eric La Flèche: You’re welcome, Chris.
Operator: There are no further question at this time. I will turn the call back over to the presenters for closing remarks.
Sharon Kadoche: Thank you all for your interest in Metro, and we will speak again soon to discuss our second quarter results on April 22. Thank you.
Operator: This concludes today’s conference call. You may now disconnect.